Operator: Good day, everyone, and welcome to the AMSC conference call. This call is being recorded. [Operator Instructions]
 With us on the call this morning are AMSC President and CEO, Daniel McGahn; Executive Vice President and CFO, David Henry; and Senior Manager of Corporate Communications, Kerry Farrell.
 For opening remarks, I would like to turn the call over to Kerry Farrell. Please begin. 
Kerry Farrell: Thank you, Trika, and welcome to our call to discuss our fourth quarter and full year fiscal 2014 results.
 Before we begin, I'd like to note that various remarks management may make on this conference call about AMSC's future expectations, plans and prospects constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors, including those discussed in the risk factors section of our annual report on Form 10-K for the year ended March 31, 2015, which we filed with the SEC earlier today and subsequent reports that we have filed with the SEC. These forward-looking statements represent our expectations only as of today and should not be relied upon as representing our views as of any date subsequent to today. While AMSC anticipates that subsequent events and developments may cause the company's views to change, we specifically disclaim any obligation to update these forward-looking statements.
 I would also like to note that we will be referring on today's call to non-GAAP net loss, our net loss before stock-based compensation, arbitration award expense, amortization of acquisition-related intangibles, restructuring and impairment charges, consumption of 0 cost-basis inventory, noncash interest expense, change in fair value of derivatives and warrants and other unusual charges net of any tax effects related to these items.
 Non-GAAP net loss is a non-GAAP financial metric. A reconciliation of our non-GAAP to GAAP net loss can be found in the press release we issued and filed with the SEC this morning on Form 8-K. All of our press releases and SEC filings can be accessed from the Investors page of our website at www.amsc.com.
 And now I will turn the call over to CEO, Dan McGahn. 
Daniel McGahn: Thanks, Kerry, and good morning, everyone. I will begin today by providing an overview of our financial results for the fourth quarter and full year of fiscal 2014, which ended March 31, 2015. Dave will then provide a detailed review of our financial results and guidance for the first fiscal quarter, which will end June 30, 2015. Following Dave's comments, we will provide an overview of our activities and future expectations. After that, we will open up the line to your questions.
 In the second half of fiscal 2014, revenues were nearly double the revenues during the first half of fiscal 2014. In the fourth fiscal quarter, which we are reporting on today, we grew revenue more than 50% compared to the previous year. Over the past quarters, we have made significant progress. From a financial perspective, we've realized revenue growth and improved gross margins. From a business perspective, we kicked off the first fiscal quarter by announcing our first commercial order from the U.S. Navy, an additional city exploring the REG solution and one of our strongest recent quarters for D-VAR. 
 But before we go into further detail on the business, I'd like to take a moment to discuss the equity offering that we completed in April. The pricing of a stock offering involves many factors including the type of shareholder being marketed to, price, desired proceeds and structure. One variable has an impact on another. We opted for a transaction that had a simpler structure, meaning no warrants. A high-quality book containing a number of long-term investors, including our largest shareholder, and the proceeds that we were looking for. To get all of these things, we expected a discount and accepted a discount on the price per share. We are appreciative of the high-quality investors that participated in the offering, and I'm buoyed by their belief in our strategy and the progress the company has made towards sustainable positive cash flows.
 We've known that the company has been moving in the right direction, and we see the level of interest in the offering as a positive sign that the market also believes in our business. In this offering we raised $24 million, which translates into approximately $22.3 million of net proceeds. Part of our strategy for growth is to increase our engagement with electric utilities and the U.S. Navy. Both of these markets expect a long-term commitment from their vendors. This additional capital enables us to ensure that our conversations with utilities and the U.S. Navy focus on the value our solutions provide and not on our balance sheet.
 On that note, I'll turn over the call to Dave to discuss our financial results for the fourth fiscal quarter and full fiscal year 2014. Dave? 
David Henry: Thanks, Dan, and good morning, everyone. AMSC generated $25.1 million in revenues for the fourth fiscal quarter compared to $16.3 million in the year-ago quarter. There was year-over-year growth in both business units, but the majority of the growth coming from our Wind business unit. In the fourth fiscal quarter, Wind revenue grew by 66% year-over-year due primarily to higher shipments to Inox as well as shipments to JCNE. We shipped a little over 100 sets of Electrical Control Systems to Inox in the quarter.
 Grid revenues in the fourth quarter grew by 12% year-over-year due primarily to higher D-VAR revenues as well as higher superconductor projects revenue. For the full fiscal year, we generated revenues of $70.5 million compared to $84.1 million in fiscal year 2013.
 Looking at the P&L in more detail. Gross margin for the fourth fiscal quarter was 6.5%. This compares with negative 1% in the fourth quarter of fiscal 2013 and 14.9% in the previous quarter. The year-over-year growth in gross margin was primarily due to higher revenue. The sequential decrease in gross margin is primarily due to a less favorable sales mix in Wind, lower usage of previously written off inventory and the negative impact on gross margin from a lower euro versus the U.S. dollar.
 During the fourth fiscal quarter, more than 60% of our revenue and more than half of our backlog was denominated in euro. About 50% of the costs associated with those revenues in the fourth quarter were denominated in euro. As a result, the ongoing strengthening of the dollar versus the euro had a negative impact on our revenue, gross margin and backlog during the fourth fiscal quarter.
 The 12-month backlog as of March 31, 2015 was approximately $41 million compared with $53 million as of December 31, 2014, and $35 million at this time last year. Despite the euro headwind, our year-over-year backlog is higher, which is due in part to stronger D-VAR orders. Our expectation is that we will receive another large wind order before the end of the second quarter.
 R&D and SG&A expenses for the fourth quarter were $8.6 million. This was down from $12.6 million for the same period a year ago due primarily to the reversal of accrued legal costs of $2.2 million associated with the Ghodawat arbitration as a result of a settlement with our insurer, Catlin, as well as other lower legal and stock-based compensation costs. Normalized for the reversal of the Catlin legal costs, approximately 17% of this R&D and SG&A spending in the fourth fiscal quarter was noncash. We also recorded a benefit of $1.2 million in the fourth quarter due to the settlement of the Ghodawat arbitration liability. We paid approximately $8.4 million in the fourth quarter to fully settle this liability.
 Below operating loss, we recorded a noncash gain of $915,000 in the fourth fiscal quarter for the change in fair of derivatives and warrants compared to a loss of $18,000 in the prior year quarter.
 As of March 31, 2015, the principal balance of our debt arrangements excluding debt discount was $8.2 million compared to $9.2 million as of December 31, 2014. We have 2 outstanding term loans with Hercules. The first-term loan has a remaining principal balance of $6.7 million and matures on November 1, 2016. The balance on the second term loan is $1.5 million under which we will pay interest only on a monthly basis until maturity. 
 As a result of our equity offering in April, a condition included in the terms of that loan was met resulting in an extension of the maturity date of this loan from March 1, 2017 to June 1, 2017, when the entire outstanding amount is due to be paid in full.
 The net loss in the fourth quarter of fiscal 2014 was $3.4 million or $0.36 per share. This is a substantial decrease from $22.7 million or $3.30 per share in the year-ago quarter.
 Our non-GAAP net loss for the fourth fiscal quarter decreased to $6.4 million or $0.69 per share compared with $9.4 million or $1.36 per share in the year-ago quarter. In fiscal year 2014, our net loss decreased to $48.7 million or $5.74 per share from $56.3 million or $8.98 per share in fiscal year 2013. For the full fiscal year, our non-GAAP net loss was $39.6 million or $4.67 per share compared to $34.1 million or $5.45 per share in fiscal 2013. Please see our press release issued this morning for a reconciliation of GAAP to non-GAAP results.
 Following a shareholder vote on March 25, 2015, a 1:10 reverse stock split became effective. All historical share and per share amounts disclosed in our earnings press release have been restated to reflect the impact of the stock split.
 On April 9, 2015, we were notified by the NASDAQ that the company was back in compliance with the listing requirements of the NASDAQ Global Select Market.
 We ended the fiscal year with $24.5 million in cash, cash equivalents and restricted cash. This compares with $37.6 million as of December 31, 2014. As I discussed earlier, $8.4 million of the sequential decrease in our cash balance relates to the payment to Ghodawat to settle their arbitration award.
 In April 2015, we completed a public equity offering under which we sold approximately 4 million shares of common stock at an offering price of $6 per share. Net proceeds after deducting underwriting commissions and expenses associated with the transaction were approximately $22.3 million. Pro forma for the offering, the company's cash balance at March 31, 2015 was approximately $46.8 million. As a result of the financing activity, we believe that we have sufficient available liquidity to fund our operations, capital expenditure requirements and debt service for at least the next 12 months.
 Turning to our financial guidance. For the first fiscal quarter of 2015, we expect that our revenues will be in the range of $22 million to $24 million. We expect that our net loss for the first fiscal quarter will be less than $9 million or $0.74 per share. While net loss is expected to be sequentially higher, note that fourth quarter included approximately $3.4 million of onetime gains as discussed earlier as well as a $915,000 mark-to-market gain on the value of our outstanding warrants. Our net loss guidance does not include any mark-to-market gains or losses. Our non-GAAP net loss for the first fiscal quarter is expected to be less than $8.5 million or $0.70 per share.
 With that, I'll turn the call back over to Dan. 
Daniel McGahn: Thanks, Dave. At the beginning of last fiscal year, we listed 3 anticipated business events that we believed would help position the company for future growth. Those events were, one, win a contract for a Resilient Electric Grid or REG system; two, win an Electrical Control Systems order from Inox in India; and three, secure a contract from the U.S. Navy for a ship protection system. We have accomplished all 3. In July, we announced a contract with the Department of Homeland Security to fund in part the installation of a REG system in the electric grid in a U.S. city. Last summer, we announced $55 million worth of orders for our Electrical Control Systems from Inox Wind in India. And finally, in May, we announced an $8.5 million contract vehicle with the U.S. Navy for a ship protection system. In short, we said what we would do, and we delivered.
 Following the completion of fiscal year 2014, we're providing a new set of business events for fiscal 2015. During the first half of fiscal 2015, we expect to, one, announce new D-VAR orders; two, announce an additional city exploring the deployment of the REG system; and three, receive a large order for Electrical Control Systems and our Wind business. In the longer term, we expect to have a decision on the second phase of our Resilient Electric Grid project in Chicago and to receive additional business from the U.S. Navy.
 Earlier this month, we announced 6 new D-VAR orders worth about $9 million. These orders came from each of our key markets of the United States, United Kingdom and Australia as well as South Africa, an emerging market. The systems will be used to connect wind power plants to the electric grid as well as to provide voltage regulation support for utilities as part of the electric grid. We continue to see elevated levels of quote activity in the United Kingdom and the United States, and we continue to see positive signs in South Africa.
 Continuing on with our products for the electric grid, we've progressed on the Resilient Electric Grid system project in Chicago. Both AMSC and ComEd have been working diligently on the first phase of the project. However, it has proven more complicated than originally expected. Over the past months, our teams have worked extensively with ComEd's utility planners to configure the REG solution within their system. This is highly technical, highly detailed work. We've completed most of the work, and we have some work still to be done together with ComEd. We'll come back to you in August with an update. ComEd clearly sees the benefits of the REG system for the city of Chicago. It is a privilege to be working with such a strong and committed partner.
 As part of our contract with DHS, we've been working to identify 2 additional cities to conduct deployment studies of the REG system. In April, we announced that, together with Eversource Energy, we successfully completed a REG deployment study of the Eversource system in Boston. For those not familiar, Eversource is New England's largest energy delivery company, serving more than 3.6 million customers in Connecticut, Massachusetts and New Hampshire. In Boston, we used to call them NSTAR and before that, Boston Edison.
 We also announced that Eversource has joined the Homeland Security Resilient Electric Grid Utility Group. This group is an industry group working in cooperation with the government to focus on securing the nation's electricity grids. The group provides an opportunity for utilities considering the REG system to communicate with each other and Homeland Security about the challenges on their networks and alternative ways to solve those problems. It provides an opportunity to increase utilities comfort with the REG system and may potentially act as a channel to market for our REG product.
 To round out the product lines that fall under our grid reporting structure, let's take a few minutes to talk about our opportunities with the U.S. Navy and the future of that business. AMSC has been collaborating with the U.S. Navy on high-temperature superconductor or HTS-based equipment for a number of years. In May, we announced that we were awarded an $8.5 million contract for -- from the U.S. Navy for HTS-based equipment. This contract provides a vehicle for the Navy to purchase components for ship protection systems. The Navy's expectation is that we will ship approximately half of this contract vehicle over the next year, and we expect to reflect this amount in our backlog in the June quarter.
 The value of a ship protection system varies depending on the size of the ship. The expected revenue from a small surface ship such as a littoral combat ship can be anywhere from $3 million to $5 million. A medium-size ship such as a destroyer or an amphibious assault ship from $5 million to $15 million; and a large-size ship such as an aircraft carrier from $20 million to $25 million. Also note that our ship protection system components can be used in a separate ship protection application, potentially increasing the pathways to deploy a version of the product in the fleet. The potential value of this alternative application is approximately $5 million per ship.
 There are 3 paths to getting deployed on a ship: The system could be retrofitted on a ship, the Navy could order an engineering change notification to a new ship being built with an existing design, or our systems could be designed in or forward-fitted into new ship designs. We believe the vast majority of the market today is for the Navy to order an engineering change to a new ship being built with an existing design. We like this business because it has the potential to be an annuity-like revenue once we're designed into a ship. Beyond ship protection systems, we see the potential for a long-term business with the Navy.
 It's important to note that our technology is appropriate for other applications for naval ships. These applications include power and propulsion in addition to the protection equipment.
 As part of its long-term plan, the Navy intends to build all-electric ships. All-electric ships will make more efficient use of onboard power; cut fuel use; and may reduce ship life cycle cost as well as increase ship stealthiness, payload, survivability and power. Additionally, the technology will also help to meet future requirements for high-power weapons.
 In the announcement we made about the Navy in April, we mentioned that we established a relationship with the Navy to develop HTS power cable hardware for shipboard power applications. The Navy has publicly said that HTS technology is a path to create an all-electric ship. We believe ship protection systems provide an opportunity for the Navy to get comfortable with the technology prior to large-scale adoption of other HTS components for applications such as power and propulsion.
 In terms of near- and medium-term revenue, we're focused on degaussing and other protection equipment while continuing to understand the longer-term objectives of the Navy and how our technology can play a role.
 Turning now to our Wind business. We sell Electrical Control Systems to wind turbine manufacturers that utilize our wind turbine design. Our customers that are currently in volume production are JCNE in China and Inox Wind in India. In China, we've been focused on working with JCNE to erect and commission more than 200 megawatts of new wind farms. JCNE has been utilizing existing inventory for these wind farms. However, in the fourth fiscal quarter, we shipped Electrical Control Systems to JCNE. We expect to ship additional Electrical Control Systems to JCNE in the first quarter. However, at this time, we are uncertain about additional demand for the rest of the fiscal year from JCNE.
 Inox Wind, our partner in India, recently undertook an initial public offering. The IPO was oversubscribed 14x, and Inox raised nearly $170 million. The success of Inox can be attributed in part to its professionally-managed organization, its business model and the strength of its technology. Inox develops wind farms, sells developed wind farms and also sells wind turbines to developers, offering several channels to market. According to Inox, its wind turbines generate 6% to 18% more power than comparable wind turbines. Inox has been steadily growing over the past years. In fact, in our fourth fiscal quarter, we shipped approximately 100 sets of Electrical Control Systems to Inox, representing the strongest quarter we've seen from them in terms of shipments. 
 Inox recently reported it had a backlog of 1,400 megawatts. To continue to grow and execute on their backlog, they need to increase their manufacturing capacity. They currently have approximately 800 megawatts of manufacturing capacity. Inox expects to use the proceeds from the IPO to double that capacity. Inox has demonstrated its ability to succeed in one of the world's largest wind markets, and we look forward to continuing to work with them so that they can continue to offer the Indian market reliable, high-quality, state-of-the-art wind turbines.
 In fiscal 2014, we achieved the goals needed to position the company for future growth. As we enter fiscal 2015, we believe that our prospects for growth are strong. To reiterate our remaining goals during the first half of fiscal 2015, we expect to, one, announce an additional city exploring the deployment of the REG system; and two, receive a large order for Electrical Control Systems. 
 I'm pleased that we have already announced new D-VAR orders, representing one of our strongest recent quarters for D-VAR orders. In the longer term, we expect to have a decision on the second phase of our Resilient Electric Grid project in Chicago and receive additional business from the U.S. Navy. I look forward to reporting back to you at the completion of our first fiscal quarter.
 And with that, I would like to open up the call to questions. 
Operator: [Operator Instructions] We'll go to JinMing Liu with Ardour Capital. 
JinMing Liu: First, just about the ComEd situation. So I understand you mentioned there is a technical delay. Is there a hard deadline for you to complete the Phase 1 study? 
Daniel McGahn: I think the simple answer, JinMing, is no, that there's not a hard and fast deadline that has to be completed or there's some challenge with the contract. What we're trying to do is we want to make sure we get the first phase right because it's important that not only do we install this in Chicago, but that it works and it works for the long term. So that means that, I think, we're spending extra care and extra effort, particularly on ComEd's side. This is brand-new technology for them. This is a different kind of program for them, dealing with us and dealing with the federal government. So that in and of itself brings its own challenges. 
JinMing Liu: Oh, okay. So there's nothing to worry about that? 
Daniel McGahn: We are not worried about it at all. And I think that the thing that we've learned in going through this with ComEd is we truly have a committed partner and a partner that wants this to be done in the right way so that they can have long-term value from the system. And that makes me feel good that not only do we have the right partner, but we have the right product. 
JinMing Liu: Okay. For -- switch to the Navy order. So the current $8.5 million contract is just -- is that just for a demonstration project? Or that's just -- I just try to understand whether that's just one test case by the Navy? 
Daniel McGahn: So we've gone through the test cases for the degaussing part of our ship protection product line. What this represents is a commercial contract between the Navy and AMSC. It's for -- if you want to think of it as kit [ph] components that can be deployed on a variety of surface ships. It is the product order for this new system. 
JinMing Liu: Okay. What I'm trying to understand, what would trigger the Navy to order more of this system? 
Daniel McGahn: So depending upon what ship it goes into and depending upon when the next version of that ship gets built, we would anticipate seeing additional orders. So the hope is we get designed on one surface ship platform. Going forward, every ship that they build would require our technology and therefore, an additional order. 
JinMing Liu: Okay. You mentioned that the potential you want to use your superconductor technology for power applications on the Navy ships. Are those -- are you talking about a superconducting energy storage or you're just like providing cold power cables for the Navy ships? 
Daniel McGahn: Power cables for distribution of low-voltage power on the ship. And when you go to an all-electric drive, the amount of power cabling within the ship itself is quite extraordinary. The diameter of the cables, the number of cables and the high-energy density nature of superconductor power cables seems very amenable to Navy ships. One of the things that we did announce in the last order, in the announcement with the Navy was that we've embarked on a development program to develop a solution for power distribution within the ship. Part of why we put the Navy business in our grid business is in many ways, the Navy ship is like a micro-grid. A lot of the technology, a lot of the approaches, and even the way the systems are set up are not so dissimilar between a Navy ship and the electrical grid itself. 
JinMing Liu: Okay. Lastly, switch to the China wind market. My understanding is a couple of your customers made into the top 20 wind and solar in 2014 including JCNE. So based on the number I have been seeing that it looks like JCNE could be placing a very large order this year if they continue to use your system. So is that the scenario you are looking at? 
Daniel McGahn: The scenario is, frankly, JinMing, is we've been so focused right now on the 200 megawatts that JCNE is getting attached to the grid. We want to make sure that, that works. We want to make sure that they're happy. We want to make sure that their customer is happy. If we do those things, the order should come. One thing to remind you, though, when you look at our backlog, particularly our long-term backlog, we do have orders on the books from JCNE that are not fulfilled completely. So what we're trying to explore with JCNE is what is the demand for this year, for next year, the year after, when would they need to place additional orders. And so far to date, the relationship has been very strong, and we've tried to provide the best support we can for them in the field to get these first critical wind projects off the ground for them. So I think they're in the position now to potentially grow. And I don't think that your estimate on the market, I think, that's what we saw, too, they were in the top 20, and they should be in position, hopefully, here to grow over the next years. 
David Henry: But to be clear, JinMing, this is Dave Henry, the backlog number of $41 million that I gave you for the 12-month backlog, right now, that -- because we -- that backlog is defined as what we expect to ship to customers over the next 12 months, not necessarily what is called for according to a contract. So that $41 million of backlog only has the shipments we were expecting to make to JCNE in the first quarter, and we said that we're uncertain about demand after that. So that's all we have in the backlog for 12 months right now. 
Operator: And we'll go to Colin Rusch with Northland Capital Market. 
Colin Rusch: Can you talk a little bit about the opportunity with other navies as well as commercial ships for the submarine applications? It seems to me that the Navy could be just a corner or anchor customer here that proves out viability of these projects and this could be a multi-year growth opportunity for you guys. 
Daniel McGahn: The Navy as an anchor, I like that, you could write that probably. The way we have to approach this is we've got a focus on the U.S. Navy, first and foremost, and their needs. They've spent the development dollars with us. There is a process, and we've begun that process, and we've been successful, in part, in obtaining export licenses for some of the technologies we developed to allied navies. So I think that your estimation is right is that the U.S. Navy is a beginning and the allied navies make about the same number of ships as the U.S. Navies does. So you can conceive of it as potentially doubling of the market. I don't see us exporting it to China or Russia or other navies in the world that I don't think the U.S. government would be very happy or allow us legally to export to. As far as the commercial navy -- commercial ships, the systems that we're focused on initially are for protection and power. Those are things that we think are going to be unique to military applications, and I'll leave it at that. 
Colin Rusch: Okay, great. And then, can we look at the utility opportunity a little bit in more detail? So obviously, you guys have a great solution related to the wind industry, but there's certainly a lot of voltage support and improvements to regulation that you guys can legitimately address with some of your solutions as you kind of look at strategic positioning of some of these technologies. Can you talk about the conversations with utilities? Obviously, you've got some meaningful products you're going along, but some of the other growth opportunities in terms of application of the technology that may not be obvious right now to investors. 
Daniel McGahn: Well, I think, if you start with REG, what REG solves is that initial commercial application for utility using superconductors. We've positioned it not as a cable but as a system. It's a system that happens to have cables as a component in it, but it is something that we're trying to position really as an alternative to new substation builds, substation upgrades, large capital expenditure programs. I think it's logical to deduce once we get traction in the market for REG that the ability to do long-length power cables, which is something that the company has, for a very long time, been interested in doing, I think that market starts to open up. Going from doing several miles in the city to tens of miles or hundreds of miles within the system, certainly is a possibility. On the voltage regulation side, where we see the market kind of evolving is there's a stronger need for voltage support within the grid as the places that energy or electricity is generated -- as those change. So we're moving towards a grid, which there'll be generation on both sides of the grid. So the grid has been designed or conceived where you generate, you transmit and then you distribute that electricity. There's a lot of changes that are happening between energy storage, electric vehicles, distributed generation solutions like solar, residential solar, that challenge electric utilities to be able to manage sufficiently voltage fluctuations on the grid. And our technologies are -- I won't say today directly applicable, but certainly could be formatted and future products could be developed to go after those opportunities as they emerge. So I think as you look at the long-term thesis on the company, we have a portfolio of technology that can have widespread applicability for the Navy and for electric utilities. And I think in many ways what you're describing in your question is the vision that we have for our Gridtec Solutions business, which is really trying to focus, first and foremost, on the market and those customer needs and to format our technology into products that provide value today on an ongoing basis to those customers. 
Colin Rusch: Perfect. And then, and the last question is just, we're starting to see a significant amount of interest in micro-grid applications. Are you involved in any discussions right now for micro-grid projects? And is that something we could see in the next 12 to 24 months where you guys get involved in a project like that? 
Daniel McGahn: I think if we get involved in something that is different or transformative for our business, we'll certainly let you know. The things that we're looking at for new products, I'd rather announce things as they become real. For a long time, our company has been very visionary in thinking and describing a long-term vision for how the future will unfold. I think what I want to be about is delivery. And as we start to deliver systems that provide value to our customers, we'll talk about them. 
Operator: And we'll go to Carter Driscoll with H.C. Wainwright. 
Carter Driscoll: First question, just maybe getting back to JCNE. So they've obviously been sitting on a big pile of inventory. You've been matching the 200-megawatt order to them. Just to clarify, do you believe that the inventory they have on hand will be satisfied -- excuse me, the 200-megawatt order will be satisfied, the inventory they have on hand plus what you additionally hope to ship to them in this quarter? And then a follow-on would be a win in the different project? Or is that ramping within that specific order? 
David Henry: Yes, this is Dave. I think for JCNE, I think, to put new orders on us, I think they need to probably have orders beyond what they're working on right now, beyond the 200 megawatts they're working right now. 
Carter Driscoll: Got it. Okay, okay. The -- could you maybe drill down a little bit into what the issue is with the ComEd Phase 1 solution in terms of the kind of the technical adjustments you have to make? Is it the -- scope of the project has changed at all? Has the architecture changed? And then, obviously, we'll take that from what you've learned and apply it to either -- to what you're working on with the Boston utility or other discussions with utilities in other markets, how applicable is it? Or is it very specific to the design that's -- you're currently working on in Chicago? 
Daniel McGahn: So the product simply, I think, is applicable to these other markets and these other cities. I think there are things that we've discovered -- I want to say this the right way and the most polite way, I think we've learned new things about certain downtown substations in Chicago that previously just weren't known. I think that's taken some time. When you install the system, you've got to look citywide on what the enhancements and what the changes would -- how it would affect the whole system. And part of why we wanted to put it in this initial phase and have some of the government money go towards that is that we knew there were things that we just didn't know, this being really the first of kind [ph] product to go into a distribution grid in a big city like Chicago. So I'm very thankful that DHS and ComEd and ourselves had the foresight to put this phase in and really get a detailed analysis on how the system would be implemented. And I think we've learned a lot. I think we've learned things in Chicago that certainly will help us in other cities. I think we've also learned as we've talked to some of these other cities that some of the architectural requirements that Chicago presents are not consistently out there in other cities. So there's some things that Chicago has done uniquely based upon how their distribution is set up that we think will be unique to Chicago but will be able to enhance value to Chicago. Does that make sense? 
Carter Driscoll: Yes, no, that's fair. I mean, obviously, every architecture is different, and I'm sure ComEd would be thrilled not to have to replace some of these substations to ruggedize it, it's a great redundancy. You talked about a new city. You're expecting a new city. I mean, is it fair to assume that the partner that you're trialing with would be one of those potential candidates? Or is there a potential that it's somebody as of yet unnamed? 
Daniel McGahn: So we've named Chicago. We have a long standing relationship with New York. We've now named Boston. So that's 3. So really, what we're getting at is there'll be a fourth city that we expect to name before we're through our second quarter. 
Carter Driscoll: Okay. Perfect. The -- are there things that -- just getting back to the REG products. Are there things that ComEd has to do to help trigger Phase 2? Or is it... 
Daniel McGahn: Yes. They have to be -- really be ready to go. And I think the other thing that we're learning with investor-owned utilities and particularly, utilities that are divisions of large parents, we have to be very respectful of their process. They go about procuring large equipment on a regular basis, which means they have a regular process, which needs to be honored and held to. So we've learned a lot about how utilities make decisions to buy large infrastructure hardware like REG. And I think part of our challenge and part of working with the federal government is realizing that utilities have to run through their own process to make these decisions. That's a good thing, and I think there's learning as we go into the next city and the next city and the next city that we understand more and more how approvals get handed down to move forward and spend real money. 
Carter Driscoll: Okay. Shifting gears a little bit. It was nice to see the D-VAR business bounce back a little bit. Geographically, is Australia kind of through its, say, anti-renewable stance, but has there been a material change in either Australia -- obviously, South Africa is in a market you've been courting for a while. Anything you can talk about, specifically about... 
David Henry: I think, simply for Australia and kind of what we got at in the earlier remarks are we don't see really a material shift in Australia. We saw a few projects in the capital region move forward. That may mean business for us, but we're not seeing what I think was believed a year or so ago that there was an immediate large opportunity in Australia for D-VAR. I think we know where the market is. I think we continue to be in position to win a large market share in Australia. I think the challenge is that the market at this point is not moving at a pace that certainly we would like to enhance growth, but that looks like that will come. We can't really guess when because these are political factors that are behind the slowdown in the market in Australia. 
Carter Driscoll: Sure. Just a couple more quick ones for me. Just so I understand with the Navy time frame, so the $8.5 million follow order, is that for one specific platform or one specific ship to the -- in the deployment pull-through with -- depending on whether it moves to a new ship within that platform? 
Daniel McGahn: So the way we've structured the product now with the Navy, and I've tried to say this on the past couple calls, is we spend a lot of time trying to format the product to be configured for any ship in the fleet. So if they're going to buy a series of components, we may not know what ship it's going to go on. We've tried to develop universal components that could go on a variety of surface ships. 
Carter Driscoll: So you can't draw a straight line to a specific ship deployment. It might be [indiscernible]. 
Daniel McGahn: I don't think the Navy wants us to. I think it's good for us, which it -- means it opens up broader adoption, which we don't have to go back and necessarily spend significant NRE to get on the next ship or the next ship, which is great. But I think it makes it hard for us, make it hard for you all to try to bring some predictability into that part of the business. 
Carter Driscoll: Okay. And then just, lastly, the trade secret case with Sinovel had its first, I guess, substantive hearing. Any report there? And then, is there anything to discuss with the -- your appeal of the $6 million dismissal? 
Daniel McGahn: Nothing really on the $6 million, that's paperwork and that's in process here. On the May 11 case, we were led to believe -- it was described to us, it was described to our council, it was described in all our documents to be substantive and it turned out to be merely procedural. So I think we have begun that case, but I don't think we've made significant progress yet in that case. 
Carter Driscoll: It's interesting given the zealousness of the current Premier to prosecute corruption that this wouldn't be more high profile given the facts surrounding the case. 
Daniel McGahn: I think maybe that part of the problem is, is exactly that. Because it is such a high-profile case, I think that the Chinese system needs to fully deliberate on what the impact of whatever outcome happens in these cases. I think it gives us an advantage from an outcome, but it doesn't necessarily give us an advantage from a pace. 
Operator: And that concludes our question-and-answer session. I'll now turn the call over to Dan McGahn for closing remarks. 
Daniel McGahn: Thanks, everybody. Happy to get through what is another year. I think one of the key things that we try to implore on our employees here is that we say what we do and we do what we say. I think you've heard the remarks that I've given over the past quarters and Dave has given. We try to be as accurate as we can to describe what the immediate future for the company will be and then we look to try to deliver on that.
 I really believe in this company. And every day I'm proud to be a part of an organization who has employees that are so focused on smarter, cleaner, better energy. It's their dedication that keeps us moving in the right direction. I was particularly pleased to see that shareholders are now starting to recognize the direction that the company is moving in. In this equity offering, we're able to get shareholders into the stock that believe in the long-term prospects of the company. I look forward to delivering on those prospects and look forward to reporting back to you all in another quarter's time. Thank you very much. Take care. 
Operator: And that concludes today's conference. We thank you for your participation. You may now disconnect.